Operator: Greetings and welcome to the Sumo Logic First Quarter Fiscal 2023 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce your host Bryan Liberator, Director of Investor Relations. Thank you, Bryan. You may begin.
Bryan Liberator: Thank you. Good afternoon. And welcome to Sumo Logic's first quarter Fiscal 2022 earnings conference call. Joining me on the call today are Ramin Sayar, President and CEO; and Stewart Grierson, Chief Financial Officer. Our format today will include prepared remarks by Ramin and Stewart, followed by a question-and-answer session. Some of our discussions and responses to your questions will contain forward-looking statements, including statements relating to the expected performance of our business; expectations regarding our platform and solutions; expectations regarding our go-to-market efforts and investments; future financial results and guidance; our strategy and market opportunity; and the potential impact of the macroeconomic environment and overall future prospects. These statements are subject to risks and uncertainties. Actual results may differ materially from our forward-looking statements. A discussion of the risks and uncertainties related to our business is contained in our filings with the Securities and Exchange Commission, including our risk factors filed with our most recent annual report on Form 10-K and the risk factors that will be included in our Form 10-Q that will be filed subsequent to this call. Sumo Logic assumes no obligation and does not intend to update or comment on forward-looking statements made on this call, except as required by law. Our discussion today will include non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Information regarding our non-GAAP financial results, including a reconciliation of our historical GAAP to non-GAAP results can be found in our earnings release, which was furnished with our Form 8-K filed today with the SEC on our Investor Relations website at investor.sumologic.com. For certain forward-looking guidance, a reconciliation of the non-GAAP financial guidance to the corresponding GAAP measure is now available as discussed in detail on our earnings release posted on our Investor Relations website. With that, let me turn the call over to Ramin.
Ramin Sayar: Thanks, everyone for joining us today, our first quarter earnings call. We are pleased with a strong start to our fiscal year as we once again exceeded the high-end of all our guided metrics. In Q1, we delivered 25% year-over-year revenue growth and 27% ARR growth. We also delivered strong growth across billings and customers greater than 100k. We feel the sales teams have settled into the new pursuit and expansion roles with the earliest traction being with expansion teams given the shorter sales cycles. In the markets we serve, digital transformation, cloud migration and security modernization initiatives remain a high priority. As customers embark on their cloud journey, our leading SaaS analytics platform helps address the challenges and needs for reliable and secured cloud native applications, which ultimately helps their broader desk SecOps requirements for both observability and security. These initiatives were key drivers of the strength and contribution we saw across our customer base this quarter. Turning to financial highlights, total revenue of 67.9 million came in above the high-end of our guidance range. We continue to see wins across our customer base with our largest customers continue to increase their adoption and usage of our platform. We ended the quarter with 469 customers with more than 100k in ARR, representing a year-over-year increase of 25%. As we previously stated, our vision is to make the world digital experiences both reliable and secure. Our cloud native platform uniquely helps customers do three things. First, ensure application reliability. Second, secure and protect against modern security threats, and third gain insights into cloud infrastructure. In addition to selecting Sumo, for a leading cloud scale log analytics platform, customers are increasingly utilizing Sumo through the breadth of both our observability and security suite. So more specifically, our observability suite helps customers monitor application and cloud infrastructure, troubleshoot and diagnose issues rapidly and improve software quality release and cycle times. In addition, our security suite helps customers with cloud infrastructure and security monitoring, application workload protection, industry and regulatory audit and compliance, threat detection and investigation and lastly, security automation and orchestration. Now, I'd like to provide some examples of how customers are using our platform as part of our key wins for the quarter. Many of these wins highlight are tech centric companies who are disrupting traditional industries with new thinking, often pushing the limits and using new technology and complex architectures to do so. We are proud that Sumo Logic is being selected by these types of four leading digitally disruptive organizations. The first one I'll highlight is the multimillion dollar new logo deal in the APAC region with the hypergrowth online media company moving to the cloud. Their digital services are being used by over 300 million users and they were struggling to understand when transaction failed, which was leading to lost revenue. Previously, they were using a do-it-yourself open source solution, which just wasn't able to ensure the reliability of their applications or capable of handling modern use cases, let alone the data volumes they require, which is upwards of 25 terabytes a day. Now, our full stack observability suite solution is being used to not only keep their app running, but also reliable, which is leading to improve customer experience and revenue retention. Next, we're able to land a new Greenfield logo that was a six-figure deal for both observability and security for a well-known retail company with many physical locations across the U.S. Their CIO had strategically mandated their shift to the cloud in order to grow their online ecommerce as they strive to become more digital. This technical valuation decision was led by both the development and security team. And they selected Sumo because we helped them ensure that digital applications and cloud infrastructure was reliable, protect their application workloads as they modernize and migrate them to the cloud. And lastly, enable their teams to more effectively manage costs, given our flexible credit space licensing model. We're also continuing to see customers expand their adoption of our platform, as they recognize the benefits of using our platform for additional teams and use cases. For example, we have a large six-figure [indiscernible] with a U.S. subsidiary of a fortune 500 financial services firm. This customer started several years ago with a log analytics use case for observability and have now expanded to our Cloud SIM for security. Like many companies, they are struggling to attract and retain top security talent. As a result, their current security team was suffering from alert fatigue, they required a next generation SIM that could alleviate some of the pressure by automating the correlation in response to such threats. This is a great representation of many such organizations that are beginning their security transformation efforts, but struggle because people, process and technology challenges. Additionally, our customers continue to expand their existing use cases, as they increase the adoption of our platform. We had a couple of million dollar upgrades with some of our largest customers that increase their commitment, and more importantly, strategic business and technology partnership with us. One of those million dollar wins came from a company that is disrupting the way people travel in APAC. They recently had a log for J incident and selected our security analytics solution as they needed to analyze 10s of additional terabytes of data per day. Our solution quickly identified potential threats that they were unable to immediately remediate, gaining the trust of the security team and CIO, ultimately, ensuring their customers confidential data remain secure. Lastly, I'd like to mention that we've continued to see strong traction with our channel partners, and in particular, our MSSP partners. MSSP has continued to be an important part of our strategy. We are focused on becoming the easiest vendor for them to partner with. Looking at our service provider as a whole, they now provide Suma Logic as a service to over 700 customers which are not included in our total customer count. Customers of all sizes are continuing to outsource to security to third parties, as the level and frequency of sophisticated attacks are increasingly coupled with the shortage of security experts. MSSP is flexible because of our scalable, fast platform, ingest any type of data, and intelligently helps them create actionable security insights, while also providing best in class cloud economics. While we had many other exciting wins during the quarter, it's important to note that our cloud native platform is purpose built to help our customers deliver reliable and secure customer facing applications. And therefore, is differentiated by the fact that it's a unified and fully integrated SaaS platform for full stack observability and security. Second, it is built on a cloud native microservices architecture that delivers resilience and unparalleled scale that can handle data volumes that modern digital applications generate. Third, it's powered by patented analytics and proprietary machine learning for any type of data, including structured, semi-structured and in particular, unstructured, which is the majority of data output by modern applications. Additionally, our platform is one of the most audited and certified platforms for industry regulations. And lastly, but definitely not least, we enable cloud scale economics and value as our tiered data architecture, supplemented by our flexible credit-based licensing model allows our customers to economically analyze the exponential growth of machine data in the cloud. Now turning to some of the product highlights from last quarter, many of which focused on enhancements tailored to developers and open source support. We're excited to announce the availability of our OpenTelemetry Distro collector or OT Distro. The OT Distro collector is designed to simplify and democratize the collection of logs, metrics, traces and metadata for modern cloud applications. We are further embracing open source and establishing open telemetry as its future standard to collect all machine data, breaking from the legacy model of using proprietary agents to gather critical application and infrastructure telemetry. We also released the sensor integration catalog, which is now available on GitHub. The integration catalog is an open self-service marketplace featuring over 40 turnkey integration, built to speed production ready infrastructure, and application monitoring. We strongly believe that open source support and interoperability remains critical to developer community. Lastly, we continue to advance our partnership with AWS, as we announced support for the AWS for games initiative for Amazon Web Services, or AWS to accelerate digital gaming experiences at scale. With Sumo Logic, game developers can ensure great player experiences, safeguard sensitive data, and accelerate game releases. Next, I want to walk through some of the business updates over the last quarter. At the beginning of our fiscal year, we rolled out new changes to our go-to-market model intended to help us focus, scale and drive more efficient growth. We're quarter into this new model and feel the team settled into the new roles, leading to better alignment internally, between teams, as well as externally with customers, prospects and partners. We're also seeing early traction in our pipeline generation in all areas of the business. We've hired some amazing leaders across our sales organization, including our global channels and alliances, America sales, and APAC theater. We also hired a new leader of sales strategy and operations to learn implement the rigor and discipline in our sales motion, enablement and hiring to build a best-in-class go-to-market organization. In addition to these strong leadership, hires and our go-to-market organization, led by Lynne Doherty, our President Worldwide Field Ops, we also hired Sophie Kitson, our Chief Human Resources Officer, and Tej Redkar as our Chief Product Officer, Sophie bring a strong track record of building talent-centric organization in the operational system that allowed them to scale. Tej brings a great domain knowledge and is deeply versed in observability, analytics, cloud computing, SaaS, DevOps, and autonomous infrastructure. In summary, escalating security threats and continued focus on securing customers digital experiences, coupled with a shortage of security and IT professionals has created durable demand for our analytics platform. Our comprehensive solution automates and correlates security events, threats and reliability issues for troubleshooting and diagnosis. Further, our tiered analytics supplemented by our flexible credits-based licensing model provides customers with best-in-class data economics. Netting it all out, our differentiated single platform for reliability and security continues to resonate with our customers, ensuring they're able to deliver the best possible experience for their end users. I'm pleased with our strong start to the year as both revenue and ARR have exceeded 25% growth. And we again exceeded our guidance for the quarter. With that, it's my pleasure to now have Stewart Grierson, our Chief Financial Officer, who will provide more details on our financial results in Q1 and our outlook for Q2.
Stewart Grierson: Thanks, Ramin, and thanks, everyone for joining us on the call. I would like to start with a brief summary of the financial highlights for the quarter, and then go into more detail on each topic. First, as Ramin mentioned, we had a strong performance to start our fiscal 2023 with year-over-year revenue growth of 25% and ARR growth of 27%. Our Q1 revenue and ARR growth was driven by continued traction with our customers that spend more than 100k a year with us as these customers grew 25% year-over-year. As highlighted by the customer use cases, we shared. We are winning new customers in both the security and observability markets, while also successfully cross selling the benefits of our entire cloud analytics platform as we enable our customers to deliver reliable and secure cloud applications. As mentioned on our last call, we believe ARR is the best leading indicator of growth in a SaaS business. We ended the quarter with ARR of 273.3 million representing 27% year-over-year growth. This is a significant improvement from Q1 of last year when ARR growth was 16%. While we expect to continue to drive meaningful ARR growth this year, the acceleration of our growth in the back half of last year, it makes for a tougher comparison as further we get into this year. Accordingly, we expect our year ending ARR percentage growth will be a few percentage points less than Q1 levels. To assist with your modeling, we will make the prior year quarterly ARR and dollar base net retention data available on our Investor Relations website. Last quarter, we changed the way we calculate dollar base net retention to a simple trailing four quarter methodology to better align this metric with our ARR reporting and provide better visibility into current trends in our business. Our dollar base net retention was 115% for the quarter as part of the sales re-segmentation we've seen the strongest early traction in the expansion teams combined with a continued improvement in customer retention. Both these factors have contributed to the improvement in retention rate quarter-over-quarter. We believe over time the realignment of our go-to-market team will result in a relatively higher focus on new customer acquisition. As a result, we expect it will take several quarters before we start to see a sustained improvement in our dollar based net retention rate. Turning to billings, calculated billings for the trailing 12-month period was 288.7 million up 22% year-over-year. Recall that we look at calculated billings over a trailing 12-month period, as this metric can fluctuate from quarter-to-quarter due to the timing of our renewals and billings duration for larger customers. Moving to remaining performance obligation, or RPO. We are continuing to see our customers make larger and long-term commitments due to our differentiated multi-use case platform and flexible licensing model. This quarter's RPO, increased 25% year-over-year to 349.9 million driven by the size and duration of new and expansion contracts. Now I'll review these income statement in more detail. As a reminder, and unless otherwise noted, all metrics are non-GAAP. A reconciliation of GAAP to non-GAAP measures is included in our earnings release and posted on our website. As previously stated, total Q1 revenue increased to $67.9 million, up 25% year-over-year. Q1 gross margin was 70% compared to 72% in the prior quarter. Our data consumption has continued to grow more than 50% year-over-year, which is consistent with our strategy of encouraging customers to ingest more data onto our platform. I want to remind everyone that we do not have a consumption license model. Our customers can take advantage of our flexible credit licensing model which includes data tiers to capture and store data as they see fit for their business. As they consume more data, they utilize more credits. However, the benefit of revenue trails in the near-term impact on cost of sales. We've also released a lot of new functionality over the last few quarters, including metrics and traces which has created a full stack observability offering for our unified analytics platform. New features NGO's take time to optimize and near-term creates some downward pressure on our gross margins. We believe all of the additional functionality and data tiers as a unique differentiator that will allow us to continue to drive our growth in the future. Looking forward, we expect gross margins to remain in the low 70% range as we continue to execute on the strategy in order to drive further adoption of our platform. Moving on to operating expenses. Sales and marketing expense was 32.1 million or 47% of revenue, which was slightly better than the year ago period. Given the opportunities ahead, we plan to continue investing in our go-to-market team focusing on enablement and productivity to drive more efficient growth in the future. In the near term, we expect a moderate increase in sales and marketing expense as a percentage of revenue in FY '23. Research and development expense was 19.4 million, or 29% of revenue, the same as it was in the year ago period. While we continue to invest in our differentiated platform for observability of security, we do expect a slight improvement in R&D as a percentage of revenue this year. G&A expense was 11.5 million or 17% of revenue, the same as it was in the year ago period. In FY’23, we will continue to make investments required to operate as a public company while focusing on building the foundation for more operating leverage in the future. Our Q1 operating margin was negative 23%, which was several points better than the high-end of our guidance range, driven partially by revenue performance in the quarter and carefully managing our costs. Net loss in the quarter was negative 15.3 million, or negative $0.13 per diluted share, based on approximately 114.3 million weighted average diluted shares outstanding. This was $0.07 ahead of the high-end of our guidance. Turning to our balance sheet and cash flow. We are well capitalized as we ended the period with 358.9 million in cash and marketable securities. Free cash flow in the quarter was negative 2 million, or negative 3% of revenue. We do not expect improvements in free cash flow to be linear, as there can be variability from quarter-to-quarter based on collections and timing of payments. We recommend looking at free cash flow and free cash flow margin on an annual basis. We believe that free cash flow is a leading indicator of leverage and profitability and as we continue to focus on driving more efficient growth, we expect to deliver meaningful improvements in free cash flow margin from last fiscal year. Turning to guidance, as a reminder, we believe that it is more relevant to measure the growth of our business on a full year basis given potential volatility from quarter-to-quarter. We are marginally increasing the midpoint of our annual revenue guidance based on our strong start to the year, while remaining cognizant of the number of changes we've made in our go-to-market team. We continue to evaluate our expense structure to identify opportunities to drive more efficient growth and accordingly are decreasing our prior annual operating loss guidance. For the full fiscal year 2023, we expect total revenue of 289 million to 292 million representing 19% to 21% year-over-year growth. Non-GAAP operating margin of negative 25% to negative 24% and non-GAAP loss per share of negative $0.64 to negative $0.62 on approximately 116.5 million weighted average shares outstanding. For the second quarter, we expect total revenue of 71 million to 72 million representing 21% to 22% year-over-year growth, non-GAAP operating margin of negative 24% and negative 23% and non-GAAP loss per share of negative $0.15 an approximately 116 million weighted average shares outstanding. In summary, we are pleased with a strong start to this fiscal year. Our unified platform for reliability and security continues to resonate with our customers. And we believe we are well positioned for the large market opportunity driven by digital transformations, cloud migration and security modernization. With that, Ramin and I are happy to take any of your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Thank you. Our first question comes from Kamil Mielczarek with William Blair. Please proceed with your question.
Kamil Mielczarek: Thank you, and congrats on a solid quarter. Ramin, you're clearly seeing acceleration of business. We've seen pockets of weakness in the broader tech industry, as you look out over the next year or so, if we do see a more severe macroeconomic downturn, how are you thinking about the decision to preserve cash versus leaning into the recent strength and maybe even coming out stronger on the other end? And how does your experience leading Sumo through the pandemic [indiscernible] decision?
Ramin Sayar: Yes. Kamil, thanks for joining us. Obviously, we feel like a lot of investments were made last year in product and IP setting us up to really execute operationally on the go-to-market side. Many of those changes, which have already transpired. So we're going to continue to measure our business on a quarter-by-quarter basis and look for areas of constant investment where we're getting return, as well as efficiencies. And we've proven that in Q1, and we'll continue to do that throughout the back half of this year.
Kamil Mielczarek: That's helpful. And just quickly, if I could follow up on your international business, you've delivered very strong growth over the last few quarters. Can you just update us on the investments you're making there? And what are some of the next steps to driving expansion?
Ramin Sayar: Yes. I mean, I think it's obvious to all of us now that the macro trends around digital transformation, cloud migration, and security modernization is not just a regional thing, it's a global thing. And with all the uncertainties in the macroeconomic environment, the great news is that Sumo helps customers save a lot of money deliver a lot of value and we're seeing that in terms of our success, not just in our major markets, but also our minor markets. APAC for us is becoming a more of a major market, we're going to continue invest in go-to-market around channel alliances and direct capacity.
Operator: Thank you. Our next question is from Matt Hedberg with RBC Capital Markets. Please proceed with your question.
Matt Swanson: Yes, thank you. This is actually Matt Swanson on from Matt and on my congratulations on the quarter. So maybe picking up where you left off on that last question about the realign go-to-market strategy, and where investments still need to be made. It's great to hear the traction, you're seeing expansions around the channel side with the MSSPs. But as far as actually changes you still need to make versus waiting to kind of see the fruits of your labor. Where do we stand to that point? Are there still ongoing restructuring that need to happen?
Ramin Sayar: Yes. So obviously, the biggest structural change was the bifurcation of hunters and farmers, which took place the first week of last quarter. And that transition is well underway. I think, ongoing, it's about where do we continue to invest incremental capacity versus make sure we're hitting the right productivity metrics, and new markets and emerging markets versus established markets and balancing that investment strategically over the course of this year. So think of it as the major change has been done. And it's about where we continue to pour fuel on the fire or we're seeing the return, and where we slow back a bit to make sure we drive the right productivity, as well as growth with respect to the investments we've already made.
Matt Swanson: That's really helpful. And I feel almost a little silly asking this because we certainly don't sound like a company that's doing any macro headwinds, but just given all the different things that are going on in the market right now, are you seeing anything from between the one Ukraine, inflation, import prices, supply chain, just kind of a lot of moving parts? And then maybe kind of on that, we talked every quarter about the differentiation of the flexible credit-base model on the tier data? If there's any other additional comments on your pricing model and how it may be more resilient in macro challenges, that'd be helpful as well.
Ramin Sayar: Okay, sure. So, first and foremost with respect to the demand environment, it's important to point out that we provide mission critical service for all companies that are trying to become more digital as they deliver -- as they need to deliver reliable and secure experiences. And so in doing so, there's always a transformation aspect, a growth aspect as well as a cost and return aspect. And so good news for our platform, given the second part of your question around the licensing, we provide that agility, that transformation, as well as the transparency and value and cost that they don't get from any other providers. So as we look down the pipe, we're going to continue to help make sure customers get all their data into our platform to be able to analyze that and be able to not drive just reliability, but also security of these mission critical services that they need to run their businesses.
Operator: Thank you. Our next question comes from Derrick Wood with Cowen & Company. Please proceed with your question.
Derrick Wood: Hey, guys, thanks for taking my question. And nice job on the quarter. Ramin, could you just comment on as you look at the security and the observability markets, the health of those two markets, the trends you're seeing where maybe there's greater demand. And then just, as you're thinking about this year, the ability to do more cross-selling of the two, how much focus is that and the new go-to-market structure?
Ramin Sayar: Sure. So the trend is pretty similar to what we've seen in the last few quarters, where about 40 plus percent of our business has come from security and the remainder from observability. This past quarter, we saw some strong wins and expansion/cross-sell, as well as new logo business around observability a lot to do with the enhancements that we provided last year that we've spoken about. Now, as we look forward, we've always talked about these being two distinct markets, different buying centers and budgets. And the fact that we have one single platform that allows those teams to kind of work better together, uniquely positions us for the differentiated platform we have. So we don't walk in and try to push both agendas at once. We try to land and expand in either of the organizations and then look to cross-sell. So now to the second point of your question that's exactly why we made these go-to-market efficiencies and changes around hunters and farmers to be able to go capitalize on that crossarm expansion versus that new business hunting aspect. So we've dent we will tend to see more fruits of the labor from the expansion just because of sheer focus. And similarly, around new logo lands in that viral selling model that we've seen in mid-market portion of our business, which contributed strong last quarter as well.
Derrick Wood: Okay, that's helpful. Steward, you guys did 27% ARR growth in Q1, up from 24% in Q4. And I think you're saying that you want to end the year, maybe back around 24%, which is quite healthy. But the revenue guidance kind of implies maybe 19% revenue growth in the second half of the year. So there seems to be kind of a disconnect between those two measures, those two growth rates, can you just kind of help us bridge the difference between the two?
Stewart Grierson: Sure, Derrick. I think the way and I think what we said on the call was and the way you need to think about this is really looking at our growth on an annual basis. And so, we are guiding if they think about the midpoint of our revenue guidance, we're guiding to 20% growth in FY '23, which is an acceleration over FY'22. But just to your point, I think, we started to re accelerate the business at the beginning of last year. And so the first half of the year for us is a slightly easier compare, when you look at the acceleration to the last half of last year. So I think that's the dynamic that you're referencing. Does that help?
Derrick Wood: Okay, got it. Thanks.
Operator: Thank you. Our next question is from Mark Murphy with JPMorgan. Please proceed with your question.
Sterling Auty: Hi, guys. This is Auty already on for Mark Murphy. Thanks for taking the question. And congrats on the quarter. First off, kind of thinking on the security side, are the events kind of going around Ukraine and the general continued concern about ransomware attacks and for sustained access, others kind of putting greater emphasis and providing some tailwinds on the security side.
Ramin Sayar: Yes. I mean, I think the supply chain attacks and ransomware has always been top of mind for a lot of companies that are moving to the cloud and transforming their operational organizational needs. I think for us what we've seen uniquely is the ability for us to have the security side of our opportunities, whether that be new or existing help champions into the lines of business and dev teams, and vice versa, because we're one of the only platforms that provides reliable and secure analytics. And so I think we're well positioned there. I don't necessarily think that's necessarily given us some tailwinds yet. I think we'll see probably how that plays out throughout this year. We'll continue to execute on these distinct markets and working through the channel partners such in the security side, and more of a direct sale on the observability side.
Sterling Auty: Got it. Thank you. And then just kind of a double clicking on the go-to-market sales motion. And hunter -- already seen some progress there, particularly on the expansion side? Did you guys just talk about what is driving that kind of more specifically, in terms of what levers are being pulled for that? And then two, are there kind of other benefits that, are probably going to be seen a little bit farther down the line, maybe toward the end of the year? Thanks,
Ramin Sayar: Sure. I mean, I think, first and foremost, we're committed to driving efficient and profitable growth. And at this size and scale, typically, you started earlier to bifurcate, your sales teams into hunters and farmers. And it allows focus, it allows simplicity and allows a lot more value to the channel partners and prospects and customers. And so it's obvious that those are in expansion roles or farming roles who have an installed base set of accounts, makes it a little bit easier for them to go in and drive a cross-sell and align within and across the organizations that hunting for new logos. And so we accordingly split up the organization to drive the commitment to the efficient growth, but also drive the right profiled reps in each one of those segments and to drive the velocity engine as well as the cross-sell engine.
Operator: Thank you. Our next question will come from Sanjit Singh with Morgan Stanley. Please proceed with your question.
Sanjit Singh: Thank you for taking the questions and really nice Q1. Ramin, I was wondering if you could talk a little bit about the opportunity and observability we've had a really nice win, you were replacing sort of a homegrown DIY solution. Anyway, that sort of framing your view, how much DIY is out there, the catalyst to move to a more commercial out of the box solution? And how much of an opportunity that represents for Sumo versus maybe displacing an existing commercial solution?
Ramin Sayar: Sanjit, I think you share the same sentiment I do around that answer, which is the market is predominantly Greenfield still, right? If you look at the number of workloads that have been migrated to the cloud, those that are being monitored end-to-end, right, let alone the workloads that are still shackled and stuck in the data center, or not yet built and migrated gives a huge opportunity for all the observability vendors, including Sumo to go take advantage of that. What we see oftentimes is in the early development of new microservices based architected apps, there's very much a do-it-yourself and a set of tools used to initially build and release that. And the moment you start to scale and want reliability let alone security you start to shift to add-in commercial products to supplement a lot of open source. And that is exactly what happened in that win. Similarly that we've seen the last two quarters, in fact. So the second part of your question in terms of the broader opportunity, we feel that we're well positioned, particularly because of the portfolio enhancements that we made last year, and into Q1, center in our commitment to open source, open telemetry to really reduce the cost for customers, and the value for customers. Long gone are the days of charging too much money for proprietary agents that collect memory disk, CPU, latency, those should be basic metrics. And as such, open telemetry brings logs, metrics, traces metadata together to make it easier to collect that information. And ultimately, the value gets placed in the analytics side of the platform to be able to provide those insights that Sumo provides.
Sanjit Singh: Makes total sense. And then, I sort of wanted to make sure I understand on some of your comments around free cash flow. It sounds like we're going to have an improvement at least in free cash flow margin, any line of sight of a when you expect the business to get to that sustainably positive free cash flow position. I know the go-to-market organization is still in transition and has a couple of phases left to it. But any sort of milepost that we should expect in terms of getting to the other side on the free cash flow, positive journey.
Stewart Grierson: Sure, Sanjit. We haven't established a timeframe for that yet. But obviously, as I indicated, we're going to make a meaningful improvement this year going from the roughly negative 14% of revenue free cash flow margin last year, this year. And so we will continue to progress that as Ramin iterated, we are very focused on driving efficient growth. And we'll get as we start nearing towards breakeven will give you more clarity, but we hadn't established a specific timeframe at this point.
Operator: Thank you. Our next question is from Gray Powell with BTIG. Please proceed with your question.
Janet Zhang: Hey, this is Janet Zhang on for Gray Powell. Thank you so much for taking the question. So I was wondering if you could talk about linearity in the quarter. Did you see any changes in customer buying patterns? And is there any color you might be able to give us on how May is tracking so far?
Ramin Sayar: I won't talk about May and tracking forward, but I will give you some color on obviously, Q1. We started pretty strong and month one into month two. I think as we look at our segments now, in each region, we're looking at, effectively what our coverage and then what our linearity is and making sure we're making the right trade offs investments to continue to accelerate that.
Operator: Thank you. There are no further questions at this time, I'd like to turn the floor back over to Ramin Sayar for any closing comments.
Ramin Sayar: Thank you, operator. We are continuing to deliver on our commitment to accelerating revenue and I've started off the year with a strong performance exceeding again, the high-end of our guidance. We delivered 25% of revenue growth and 27% ARR growth in the first quarter. Additionally, as we've already mentioned, we're committed to driving meaningful growth, while showing improvements in both operating margin and free cash flow for the full year. Our cloud native platform, we believe is very uniquely positioned to help customers reliably and securely manage their mission critical applications. As such, we are steadfast in our belief that we have a differentiated product that resonates with our customers and believe that we're still in the very early innings of digital transformation, cloud migration, obviously, security modernization initiatives. I'm very pleased with the operational and organizational changes that are already underway and the large and growing market opportunity ahead of us. With that, thank you for joining us today on our first earnings call and we look forward to speaking with you soon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.